Operator: Good morning, ladies and gentlemen. Welcome to the TELUS 2014 Q3 Earnings Conference Call. I would like to introduce your speaker, Mr. Paul Carpino. Please go ahead.
Paul Carpino: Great, thanks, Mike. Good morning, everyone, and thank you for joining us today. The third quarter news release and detailed supplemental investor information are posted on our website, telus.com/investors. On the call today will be Executive Chair Darren Entwistle, who will provide some opening comments; followed by a review of operational highlights by Joe Natale, President and Chief Executive Officer; John Gossling, our CFO, will then provide a review of our third quarter financial results. We also have Josh Blair, our Chief Corporate Officer and Executive Vice President, TELUS Health and TELUS International joining us in the room today as well. After our prepared remarks, we will conclude with a question-and-answer session. Let me direct your attention to Slide 2. This presentation, answers to questions and statements about future events, such as 2014 guidance, intentions for dividend growth and future share purchases, are subject to risks and uncertainties and assumptions. Accordingly, actual performance could differ materially from statements made today, so do not place undue reliance on them. We also disclaim any obligation to update forward-looking statements except as required by law. I ask that you read our legal disclaimers and refer you to the risks and assumptions outlined in our public disclosures and filings with Securities Commissions in Canada and the United States. Let me now turn the call over to Darren, starting on Slide 3.
Darren Entwistle: Thanks, Paul. TELUS quite clearly once again delivered another quarter of strong results, strong results driven by our highly engaged team executing on a consistent and focused wireless and wireline broadband growth strategy, results driven by our customer centric culture and organization and excellent results driven by our continued execution on operational efficiency. Joe and John will provide you details on the quarter, but I'd like to take a moment to highlight several key TELUS differentiators that have enabled us to deliver on our commitments to our shareholders and our customers. Since 2000 we've established a track record for generating value through a collaborative approach to implementing key initiatives, key initiatives related to growing a subscriber base through a differentiated and customer service focused product offering. Key initiatives related to increasing our revenues per customer by consistently delivering a portfolio of future friendly products and services delivered over reliable networks. Key initiatives related to establishing the industries best customer service model, exemplifying it each day in our culture and getting better every year. Also embracing a targeted capital investment philosophy in our core business that drives greater predictability and enhances the diversity of our high quality asset mix and finally rewarding our shareholders through executing on the strategy and consistently returning meaningful levels of capital to investors through our multi-year dividend growth model and stock repurchase program. Let me provide additional proof points on these five layers. In terms of growing subscribers and Revenue Generating Units, our performance in 2014 has been exceptional on both an absolute as well as a relative basis. For the first nine months of 2014, TELUS has delivered an impressive 254,000 net new RGUs. While these numbers are strong in their own right, they compare favorably with net RGU results experienced by our competitors over this same period. Encouragingly, over this period our wireless business added 30% of the industry's gross new subscribers, but more importantly added an impressive 51% of the industry's net postpaid subscribers. There's a consistency and contributions from our wireline business. We have now reported ten consecutive quarters of positive wireline RGU growth adding 170,000 new wireline customers over this period. We are particularly proud of this accomplishment given the negative wireline RGU growth seen by most of our global peers. Beyond the addition of new subscribers, the quality of earnings generated by our customer base in terms of lifetime revenue and ARPU growth has been excellent. In our wireless business we achieved record lifetime revenue this quarter of $5,161 per customer, which remains meaningfully higher than our peers across the industry. Our industry leading ARPU of $64.51, as also demonstrated consistent growth, having grown for 16 consecutive quarters on a year-over-year basis including 3.2% in the most recent quarter. While these revenue and subscriber metrics are indeed impressive, they are not taken for granted. Instead, they reflect a third layer of our strategy, namely our Customers First culture. Launched in 2008, our number one corporate priority of leading all service companies in likelihood to recommend has focused on listening to our customers and making real changes to meet their needs in order to provide a truly differentiated experience. Beyond delivering another quarter of industry leading postpaid customer loyalty rate of 0.9% representing the top loyalty score in North America, our team's steadfast execution of this customer centric strategy is also reflected in the just released CCTS Annual Report in which complaints against TELUS have declined 53% since 2011. Notably, this is the third consecutive year that TELUS has had the fewest number of complaints among Canada's major carriers reflecting the power of our employee base and our Customers First culture being put into action. Our fourth layer of differentiation is our consistent approach to investing capital in core businesses. This discipline has been a key driver of the company's consistent results where deploying capital in our core wireless and wireline assets as well as our customer focused initiatives has allowed the company to grow its subscriber base, increase lifetime revenue per client, and ARPU and deliver the industry's best customer loyalty metrics. Since 2000 we've invested $29 billion in spectrum and CapEx and have leveraged these meaningful investments to out perform in terms of operational execution, out perform in terms of financial performance and importantly for shareholders out perform in total returns. The pay off from the quality of these investments has been a key factor in the fifth layer of our strategy where we demonstrated our ability to also simultaneously return significant amounts of cash to our shareholders through our multi-year share purchase and dividend growth programs. In this regard we have further enhanced our track record by completing our 2014 share purchases during the quarter returning $500 million to our shareholders and building upon the $1 billion NCIB program we executed and completed in 2013. Notably, the combined value of the two share purchase programs plus nearly $1.8 billion in dividends paid total $3.3 billion that we've returned to shareholders since the beginning of 2013. To further demonstrate our commitment to this program we announced in October that we would accelerate the start of our 2015 NCIB program to purchase and cancel up to $500 million in additional TELUS shares. Finally, we also announced today that we are raising our quarterly dividend by 11.1% on year-over-year basis to $0.40 per share. This represents our eighth dividend increase since announcing our multi-year dividend growth program in May of 2011 at our AGM. In summary the TELUS team has worked very hard over the past 15 years to establish a robust customer service engine, a consistent growth oriented business model, and a track record for returning capital to our shareholders. Indeed, our strong Third Quarter results reflect the significant and ongoing benefits of an organization that has established itself as a global leader in employee engagement and a TELUS team that continues to embrace our company's top priority to put Customers First in every single thing that we do. Importantly, we want to emphasize to our customers and shareholders that we do not take your support for granted, and we will continue to work diligently to earn your loyalty every single day. I'd now like to invite Joe to take you through a review of our Third Quarter operating results before John covers the financial highlights. Joe?
Joseph M. Natale: Thanks, Darren. As you've heard, our Third Quarter results reflect the strong traction on our journey to put Customers First. The effectiveness of our strategy is evident in the robust operating momentum we continue to see in both our wireless and wireline businesses as well as the recent CCTS results. Starting with wireless on Slide 4, TELUS reported industry leading third quarter postpaid wireless net additions of 113,000 up 7% over the third quarter of last year. We continue to see the ongoing shift toward postpaid with our consistent focus on wireless data and higher value Smartphone subscribers. TELUS has lead the industry in postpaid net additions for five of the last six quarters. Our 51% share of industry postpaid net additions as reported by national carriers is supporting our ongoing expansion of postpaid market share. Turning to Slide 5, TELUS reported an all-time record low third quarter blended churn rate of 1.25%, an 11 basis point improvement over last year. Postpaid churn at 0.9% improved nine basis points year-over-year. This has matched our all-time postpaid record low achieved in the second quarter and previously eight years prior to that. TELUS' postpaid churn is the lowest in North America. Five consecutive quarters with postpaid churn below 1% is an outstanding accomplishment by our team, and I'm very proud of the hard work in this important area. We are pleased to be recognized in the recently announced CCTS Annual Report as again having the fewest customer complaints, almost four times lower than our next closest national competitor. TELUS complaints dropped sharply for the third consecutive year while attracting hundreds of thousands of net new customer connections. This third party validation demonstrates the continued success of our relentless efforts to differentiate TELUS through a superior customer experience. Moving to Slide 6. We reported a 16th consecutive quarter of year-over-year blended ARPU growth, up a strong 3.2%. We remain confident in the ongoing prospects for future growth from increased data penetration and roaming, enhanced speeds, and a constantly expanding consumer appetite for services and applications. Our smartphone subscriber base continues to grow, now at an industry leading 80% of postpaid subscribers, a five percentage point increase over the same period last year. As evidenced by our higher CapEx in the quarter, we continue to make significant investments in our infrastructure to meet the expanding needs of our customers for higher speed and reliable data services. The data and smartphone growth is being supported by the continued enhancement of our 4G LTE network, now covering more than 85% of the Canadian population, while 99% of Canadians continue to enjoy 4G HSPA+ coverage. Turning to Slide 7. Our industry-leading churn and 16 consecutive quarters of year-over-year ARPU growth are driving continued significant leadership in lifetime revenue per subscriber. Lifetime revenue per subscriber increased again this quarter to nearly $5,200, up to 32% better than our peers and the highest result the TELUS has ever achieved. Our marketing efficiency, measured as a ratio of cost of acquisition per gross addition to lifetime revenue, remains industry leading at 7.8%. This is a 90 basis point improvement over last year. Our significant leadership and lifetime revenue per subscriber and marketing efficiency positions us well going into 2015 when we expect heightened market activity associated with two and three year contracts expiring concurrently. In summary, our superior wireless operating metrics continue to be underpinned by our strategic focus on high-quality loading, ongoing smartphone and data adoption and strong execution and delivering an exceptional and differentiated Customer Service. Turning to wireline on Slide 8. We continue to build increased scale in TV and high-speed Internet. Once again this quarter, we reported 23,000 TV net additions, with our base expanded by 14% year-over-year to 888,000 customers. The demand for our premium Optik TV service remains healthy, and we continue to expand our market share. Great pull through growth in the demand for higher margin, high speed internet continues with a strong increase of 22,000 subscribers in the quarter. As a result, our Internet base grew 6% year-over-year to more than 1.45 million customers. Wireline capital investments increased in the quarter to support the continued growth in broadband services through ongoing strategic investments aimed at pushing fiber deeper into the network, including directly to homes and businesses, we now offer Internet speeds of 50 megabits per second to 92% of our approximately 2.8 million Optik-TV-capable households, up from 2.6 million a year ago. We continue to see improvements in the metrics and the overall economics for both Optik TV and Internet, notably, including continued strong ARPU growth for high speed internet. Our successful focus on offering compelling bundles and winning the home is illustrated by the lowest residential NAL losses down close to 30% to 24,000, reflecting ongoing yet moderating substitution trends. This is the fourth straight quarter we have seen residential NAL losses trending down in the mid to low-20% range or lower. Combined TV and high speed net additions were 45,000 exceeding residential NAL losses for the 17 consecutive quarter. TELUS also continues to demonstrate strength in the business market with the fifth straight quarter of NAL improvement. Business net additions of 3000 were positive for the second consecutive quarter. This highlights the benefits of our investments in providing nationally fully managed solutions to the business market. TELUS continues to be one of the few carriers globally to report positive wireline growth in customer connections as well as revenue and EBITDAR growth. Our overall richer mix was positive in the quarter. This included 3,000 additional high-speed net additions and 9,000 improvement in residential NAL losses and a 10,000 improvement in business NAL. These dynamics represent a positive impact to both EBITDA and margin. Our triple play product offering continues to be very compelling with the ongoing expansion of coverage and speeds and the addition of new content. While the market remains intensely competitive we continue to focus on initiatives aimed at enhancing efficiency to mitigate the impacts of substitution and competition. This is to ensure we're allocating resources to growth areas while at the same time enhancing our effectiveness in delivering a superior experience to our customers. Before I turn it over to John let me summarize the key operating highlights reflected in our third quarter results. We reported leading postpaid wireless subscriber growth. Our postpaid churn is the lowest in North America and matches our all-time record low. Our ARPU is the highest in Canada with 16 consecutive quarters of growth. As a result of strong churn and ARPU performance, wireless lifetime revenue per customer is up over 12%, the highest in Canada. We have the most rapidly growing wireline business in Canada, one of the fastest growing wireline businesses globally. These ongoing achievements continue to drive strong revenue and EBITDA growth, both in wireless and wireline. We are confident that our strong team, proven strategy and attractive asset base can continue setting TELUS apart on the basis of customer excellence while at the same time creating significant ongoing value for our investors. With that let me turn the call over to John to take you through the financials. John?
John R. Gossling: Thanks, Joe. Good morning, everyone. I'm on Slide 10. Third quarter wireless results continue to demonstrate our strong operational execution. Network revenue was driven by strong data revenue growth of 24% reflecting continued growth in our subscriber base, higher data usage from the continued option of Smartphone and other data centric wireless devises expansion of LTE network coverage, higher wholesale data roaming revenues and increased customer adoption of higher rate two year plans. EBITDA increased by 2.9% due primarily to network revenue growth partially offset by higher retention costs to support our leading postpaid subscriber churn. EBITDA was also impacted by higher restructuring and other like costs of $18 million in the quarter reflecting primarily store closures for the optimization of our distribution channels. EBITDA, excluding restructuring and other like costs and also excluding the negative impacts from Public Mobile this quarter, was $720 million an increase of 5.1% reflecting a margin of 42.4%. The year-over-year margin decline reflects higher retention costs as mentioned to support our industry leading postpaid subscriber turn that Joe referenced earlier and the iPhone 6 launch. Capital expenditures increased due to continued investment in wireless broadband network infrastructure including investments for the deployment of 700 megahertz spectrum, consistent resiliency and reliability initiative in support of our focus to deliver an exceptional customer experience. As shown on Slide 11, our wireline financial results also continued to show solid momentum. Revenue increased by 2.5% due to data revenue growth of 7.1% generated primarily by high speed internet subscriber growth and higher revenue per customer and as well TELUS TV subscriber growth. Reported wireline EBITDA increased by a healthy 31%. When excluding restructuring and other like costs in both periods wireline EBITDA increased by 3.3%; with a margin of 27.2%, up 20 basis points year-over-year. This EBITDA growth reflected data revenue growth as well as ongoing operational efficiency initiatives. It's worth knowing that EBITDA was also impacted by a $50 million retroactive contribution expense related to prior periods for our Canadian programming funding requirements, however, this was effectively offset by several one-time Real Estate and investment gains. Wireline capital expenditures increased over the same period last year to support business service growth, ongoing investments in customer first initiatives and broadband network infrastructure expenditures including connecting more homes and businesses directly to our fiber optic broadband network. Slide 12. Our consolidated results continue to reflect the success of our strategy and operating execution, which continues to deliver strong revenue and EBITDA growth, while we continue to return significant capital to our shareholders. Consolidated revenue increased by 5.4%, surpassing the $3 billion margin for the first time and benefiting from continued growth in both our wireline and wireless operations. Notably, consolidated data revenue increased by 14% year-over-year to reach $1.65 billion. Consolidated EBITDA was up 2.9%, on a reported basis or 4.5% when excluding the restructuring and other like costs in both periods and also excluding the Public Mobile impact. Reflecting our successful integrations efforts at Public Mobile in 2014 we now expect full year consolidated and wireless EBITDA to be negatively impacted by less than $20 million compared to our previous estimate of $40 million. Basic earnings per share of $0.58 increased by 3.6%. However, the year-over-year growth was impacted by certain items that I will discuss in more detail on the next slide. Adjusted EPS was up over 10%. Simple cash flow of $408 million declined year-over-year as EBITDA growth was offset by higher capital expenditures as we continue to invest in our business for future sustainable growth. As referenced in our earnings release we now anticipate full year 2014 consolidated CapEx to be approximately $2.3 billion up from $2.2 billion previously. This increase reflects continued network post investments and advanced broadband wireless and wireline technologies and in customer first initiatives. All other guidance remains unchanged. Slide 13 provides a breakdown of EPS drivers this quarter. Strong EBITDA growth, excluding restructuring and other like costs in both wireless and wireline and also excluding the negative impact from Public Mobile was again the primary driver of EPS growth adding $0.06 to the upside. Lower shares outstanding reflecting our ongoing share repurchase program added $0.02 of growth, and higher depreciation and amortization as well as Public Mobile dilution each contributed $0.01 to the downside. Overall TELUS delivered strong double-digit EPS growth on an adjusted basis. As outlined on Slide 14. Capital markets continued to embrace our strategy with a successful completion in September of $1.2 billion debt financing at very attractive interest rates. As a result of a good market environment and strong demand for an amount we were able to lower TELUS average cost of long-term debt to 4.72% compared to 5.44% at the end of 2012. We also extended the average term of maturity of TELUS' long-term debt to 11.2 years compared to 5.5 years at the end of 2012. These financing activities combined with our profitable growth reaffirm TELUS' strong position of being able to continue to make strategic investments to support sustainable growth and return capital to shareholders. Turning to Slide 15, TELUS' continued strong operational execution combined with our strong balance sheet leaves us well positioned to continue executing on our multiyear shareholder-friendly initiatives, including our dividend growth and share purchase programs. Today, we have raised our quarterly dividend 11% over the same period year ago to $0.40 or a $1.60 annually reflecting the attracted yield of just under 4%. This new quarterly dividend reflects our 15th increase since 2004. Our half of those increases have occurred since we implemented our semiannual dividend growth program in May of 2011. With the completion of our 2014 normal course issuer bid program in September, combined with our advanced 2015 NCIB program, which began on October 1, we have purchased nearly 14 million shares for approximately $524 million through the end of October. TELUS shares outstanding are now lower year-over-year by approximately 1.9% or 12 million shares down to 611 million shares outstanding. Notably, we have returned over $10.7 billion in cash to shareholders over the past decade, representing about $17 per share. Let me now pass the call back to Paul to take your questions.
Paul Carpino: Thanks, John. Mike, can you please proceed with the questions from the queue for Darren, Joe and John?
Operator: Yes, the first question comes from his Philip Huang from Barclays Capital. Please go ahead.
Phillip Huang – Barclays Capital Inc.: Yes, thanks, good morning and congrats on the solid results. First question is on Public Mobile. Was wondering how quickly we can see Public Mobile start to contribute to EBITDA, and what additional work needs to be done to get us there, and I have a follow-up question on hardware installment plans.
John R. Gossling: Sure. I'll take the first question. It's John. So our expectation is that starting Q4, Public will be positive. The integration steps are largely complete; the network integration is complete; and the customers have been migrated, so we would expect that the numbers that we reported through Q3 will be in terms of getting some dilution.
Phillip Huang – Barclays Capital Inc.: Got it and in terms of the margin that for Public Mobile, I'm not sure if I should be looking at it from a standalone basis, but I was wondering to wrap it up to the same margin as the overall wireless business, how quickly do you think that could happen?
John R. Gossling: You know it's going to get blended into the overall base and at that point, it will just be part of the larger consolidated wireless numbers, so it's largely a prepaid business. It's a decent ARPU business but obviously it's been a higher churn business overtime. So the contribution will be relatively small I would think as we go forward.
Phillip Huang – Barclays Capital Inc.: Got it and so on the hardware installment plans I believe Eastlink introduced installment plans earlier this week for Eastern Canada, but the rest of Canada has yet to see these plans, so I was wondering what your thoughts are on when you think would be the best time to introduce such filings if at all?
Joseph M. Natale: Hi, it's Joe. I'll take the question. I think it's important to put into the context of our focus on customers. In 2009 we launched a whole series of initiatives that were ideas aimed at making life more clear and simple for TELUS customers. We pioneered the idea of the handset balance and the early device upgrade fee, which is something that has become an important hallmark of our clear and simple approach with customers and has been working very well for us. It essentially functions in a very is similar manner in that customers can pay down the handset balance whenever they see fit and get a new device, and in cases where we felt we want to stimulate the market, for example, in the tablet world we do have is something called easy pay, which is the equivalent of an installment plan. In terms of what we do next I think that's really left to the TELUS organization and the Marketing team.
Paul Carpino: Great, thanks, Phil. Mike, next question please?
Operator: Yes. Next question comes from Greg MacDonald from Macquarie Capital. Please go ahead.
Greg MacDonald – Macquarie Capital Securities: Thanks, good morning, guys. I'm focusing in on the strong ARPU trends that we've seen, and frankly we saw them both out of TELUS and Bell, and it suggests to me at least that these two companies are still taking share from Rogers of high end Smartphone customers, so I have a couple questions based on this. The first is on that share gain, is it evenly split between enterprise and consumer, or is it more consumer? And then I think more importantly, I know you aren't going to give us guide an on '15, but to a market that's naturally skeptical on sustainability of ARPU growth, and I know the 80% Smartphone penetration now in the postpaid base, what context can you give us to try and understand sustainability issues? And Bell talked a little bit about the postpaid LTE versus HSPA on the base. Could you talk about that maybe whether there’s an ARPU premium on LTE customers versus HSPA? Try and help us understand what sustainability opportunities there are. That would be very hopeful, thanks.
Joseph M. Natale: Sure, Greg. It's Joe.
Greg MacDonald – Macquarie Capital Securities: Hi, Joe.
Joseph M. Natale: Let me kind of take the back half of the question first. I think fundamentally, there is still great opportunity for ARPU growth within our business. It really has to do with data consumption, data growth as a whole. I look specifically at data consumption on a regular basis. Data consumption in our world is doubling every 18 to 24 months. Canadians on average consume about twice as much data as Europeans by any survey or metric that we've seen recently, and there's still a continued appetite given the quality of networks and the capability of networks and the continued investment in LTE and cellular infrastructure to maintain both a quality experience and speed and reliability as a whole. I look within our base, and I still see lots of room for ARPU growth. We'll continue to have an expansion of the base as we look for a stronger mix – a stronger mix of customers that have bigger data appetites and customers that are more data centric. And in a market that is 100% penetrated in most cities, it really has become a game of who can create the best experience in order to attract the best customers as a result of that great experience, and TELUS I think has performed very well on that front. There is still migration capability and availability within our base. We look every time the customers make a move from an earlier generation Smartphone to a later generation Smartphone. It comes with data growth and a greater consumptive behavior around data. We look when customers make the move to LTE devises it comes again with, of course, faster speeds and better capability as a result, the more consumption of data. In a world where the Smartphone has insinuated itself into every aspect of life, and you've heard me say in the past has become the remote control for our lives, the consumption pattern has and will continue to grow substantially on that front. I think you have to look at some other factors as well. We are looking at the share plus plans that we launched last year. The phenomenon around sharing continues in the household and adding shared data buckets is attracting a family phenomenon of adding tablets and other devises to the family plan and again, driving growth in data. And the last thing I'd say is on this front is don't forget for TELUS unlike certain of our peers, roaming is still a growth area for us, a growth area for us internationally with respect to both voice and data. So I feel bullish on ARPU growth going forward, and I feel that with the opportunity ahead of us as we head into 2015, and given the momentum that we have as a company around the customer service experience and loyalty, the team's performance to date we're well poised on that front. In terms of where is the market share gain coming from do your comment earlier, our focus has always been on AMPU. We talk a lot about ARPU, but AMPU being average margin per unit, and we'll look at an opportunity whether it's a segment of the consumer population, a large enterprise account, a small business in Canada, and we'll make the right choices based on the margin profile and the ability to serve that customer going forward. And that mix varies from quarter to quarter, Greg, so it really comes down to what we believe we can foster the best relationships of our customers.
Greg MacDonald – Macquarie Capital Securities: And Joe, any context on LTE sub penetration or ARPU premiums?
Joseph M. Natale: I'm not sure that's something I want to discuss on this call, Greg. I think at the end of the day there's no question that capability and speed and a great quality experience drives consumption both on an absolute and relative basis. You heard my stat about Europe versus Canada. It's a direct product of the investment and capability that we put forward in our networks, and as we continue to do that and you continue to be able to use the latest Smartphone device in some of the most rural parts of Canada, I think we'll continue to drive data consumption and growth. I think it's a natural phenomenon in this business. Data consumption is getting stronger, not diminishing.
Greg MacDonald – Macquarie Capital Securities: Thanks, Joe.
Paul Carpino: Thanks, Greg. Mike, next question please?
Operator: Next question comes from Simon Flannery from Morgan Stanley. Please go ahead.
Simon Flannery – Morgan Stanley: Thank you very much. I think you touched earlier on the double cohort situation for next year. Can you just talk through your exposure to that and to what extent people on three year contracts have already sort of upgraded to new devices inside of that time frame and also to what extent you see that as an opportunity perhaps to take more share given that there will be more decisions made in 2015 probably versus 2014, thanks.
Joseph M. Natale: Sure. I'd be happy to, Simon, it's Joe.
Simon Flannery – Morgan Stanley: Thank you.
Joseph M. Natale: I think the first thing to recognize is that not all of our base was on three year contracts prior to the wireless code of conduct. In fact in the two years leading up to the wireless code of conduct, changes that happened and the move to two year plans, we were loading at about 40% of new customers coming on two year plans already. We introduced two year plan and certainly were offering them competitively in the marketplace so we had that mix happening already. On top of that, I talked earlier about the device balance and early device upgrade approach, the customer friendly approach we took way back when. And that was creating a different dynamic as people got the opportunity to make the move more easily, more liberal and get in market-rate plans every time a new device came along. And third thing to consider is that Koodo has been on path from the very beginning and the notion of a three year contract didn't really exist at Koodo from that same perspective so you have to kind of look at the nature of our base in general to begin with. The second thing I'd say to you is that I feel that having industry leading customer service metrics, having the best loyalty rate in North America being known from third parties for our customer friendly approaches and the approach that we're taking to both gain and retain customers, the just organizational muscle on this front, we’ll serve us well heading into next year. It will serve us very, very well as a Company. I think there is going to be enhanced market activity. Clearly there will be as two and three year contracts come together, and customers will have choices. I'm pleased to be in a place where we're heading into 2015 with that kind of momentum. The thing you have to recognize also is sort of a final point I'd say is that the TELUS organization has got an incredible track record of managing through various market impacts. Things come along, and the team has been not just resilient, but the team has been incredibly strategic and provocative in terms of defining new customer friendly initiatives and ideas that quickly become industry norms. And our team is best prepared to continuing doing that. We've got a number of things that we've pioneered like trade in programs as an example. Trade in programs will help to smooth that cycle, and there are more of those to come, so rest assured that we're on it. It's something very important to us, and we've been focused on it for a very long time.
Simon Flannery – Morgan Stanley: Great, thank you.
Paul Carpino: Thanks, Simon. Mike, next question please?
Operator: Next question comes from Dvai Ghose of Canaccord Genuity. Please go ahead.
Dvaipayan Ghose – Canaccord Genuity: Yes, thanks very much. Good morning. Question for John Gossling if I may. You've had another solid quarter of operating results, and it's really translated into solid earnings growth. Your adjusted EPS is up 12% for the first nine months on a year-over-year basis, but when I talk to investors about your dividend growth model and your strong operating leverage one of the concerns is on the free cash flow side. If you look year-to-date your free cash flow per share is down from 18% and the concern is that dividends are a cash item and earnings are not. I was wondering if you could go through the discrepancy and what you see as a free cash flow program going into 2015.
John R. Gossling: Sure, Dvai, it does come up fairly frequently, you're right. If you look at free cash flow versus GAAP earnings, there is that discrepancy. We are clearly in a CapEx investment cycle that I think we all talked about in the opening remarks so that difference between CapEx and depreciation is driving some of that difference that people are commenting on. The other thing you need to remember in free cash flow this year in particular is we did have a large step up in cash taxes, and that is not going to continue for the next couple years and we go beyond 2014 as we have the availability of tax synergies and Public Mobile. So that's hurting us this year, as you point out. It's starting to depress the free cash flow a little bit, but that is likely to improve in the next couple years, and I don't know, Darren, if you want to add any comments to that?
Joseph M. Natale: I think a few things, Dvai. In terms of extensibility of our dividend growth model and our NCIB program over the very, very long-term, it’s contingent upon the investments that we're making today in broadband, wireless and wireline networks. I would say we've earned the right to make those CapEx investments. If you look at future growth as it relates to our RGU profile for the first nine months of 2014 at 254,000 net adds across wireless and wireline, that is a distinct contrast versus our peers. I think that bodes well for economic growth into the future. We also have an organization where we developed two growth assets both wireless and wireline so we have a quality and diversity of asset mix that I think is second – also, when you look at making CapEx investments, I would say when you're generating $5,161 per client on wireless, it compels you to make forward look investments in broadband technologies and deploying spectrum in that regard. And that's exactly what this organization is up to. I'm sure the other thing that you're well aware of is that when it comes to spending CapEx money we don't stray from our core business, and that historically has been a hallmark of this organization. All of our investments have been focused on our core business effectively, domestically within the broadband asset base and then I kind of think about well we're still generating robust simple cash flow. I'd say we've got one of the best balance sheets in the industry when it comes to CapEx affordability. I think the team here has made pretty astute moves. If you look at what we've done to prepare ourselves to invest for the future over the last couple of years, I think you'd note the average term to maturity on our debt has grown to 11.2 years. That's fundamentally different than where we were 24 to 36 months ago, with an average cost of that debt at 4.7%. And I think smart companies take advantage of the low cost of capital environment that we're into make forward-looking investments to ensure that 2016 isn't the last year for our dividend growth model and our NCIB program. And then lastly, Dvai, I would note that how many companies do you know that can make the type of investments that we're making in both the modular fiber to the home program and fiber to the business program on wireline and then the deployment of LTE on wireless and return over less than the last two years, $3.3 billion to investors through the two NCIB programs and the dividend returns that we've put in the way of money going to the shareholders of this organization. And I feel pretty robust that we're going to be able to carry on with that combination of dividend growth and NCIB programs and make smart investments for the future to do good things for shareholders beyond the 2016 timeframe.
Dvaipayan Ghose – Canaccord Genuity: Hey, thanks very much, appreciate it.
Paul Carpino: Great. Thanks, Dvai. Mike, next question please?
Operator: Next question comes from Batya Levi from UBS. Please go ahead.
Batya Levi – UBS AG: Great, thanks. I had a couple of follow-up questions, one on the wireless side. Can you give us some color on the upgrade rate you see every quarter and how you think that will progress into next year? And a follow-up on the CapEx question, can you provide an update on your plans to decommission the CDMA network next year, what kind of capital efficiencies you might see from that? And on the wireline side, what is the incremental opportunity remaining on deploying fiber you think in the wireline business and maybe a mix of maintenance versus growth CapEx and how you think that intensity should shape up going forward? Thank you.
John R. Gossling: Anything else.
Joseph M. Natale: Yes, that was three questions or five.
Batya Levi – UBS AG: May coming out of question.
John R. Gossling: Let me take the retention question in terms of the rate and I'm just going to, I want to dig some numbers out. You can see in our MD&A that we do disclose the percentage of network revenue that's being spent on upgrades. The number off the top of my head as I'm looking hereof upgrade units in the quarter is just under 500,000, and the trend on that was up slightly particularly with the iPhone 6 launch. So it's relatively stable, but it has ticked up a little bit this quarter on us. I think your second question was turn down and also you had a question on wireline CapEx.
Joseph M. Natale: CDMA turn down is something that is being contemplated, and we're working through the plans and programs with respect to CDMA turn down as we speak. There will certainly be efficiencies to be gained from doing exactly that, and we would be happy to follow-up in more detail with you.
Darren Entwistle: To conclude it the CapEx intensity that you're seeing now on wireline is a good leading indicator of what you can expect on a go forward basis. I would remind investors that the fiber to the home modular program is not just a wireline CapEx program. It's also a wireless CapEx program because that will support the back hauling of our small cell topology. I think when you're making a fiber investment in the economies of scope range from TV and HSIA and voice-over-IP to now also include small cell wireless back haul into the future I think supporting the healthcare products we would like to bring into people’s homes, it is the economies of scope making that particular investment attractive. But don't forget it's not a singular wireline investment. It supports both components of our business both wireline and wireless.
John R. Gossling: Just one quick top on the first question. We spent this quarter 11.5% of network revenue on retention. We have typically been somewhere in that zone of 10% to 11%, depending on iconic phone launches, et cetera. I think you'll find if you look back historically the TELUS organization has done a great job of managing that metric and the same time having best-in-class loyalty rates, which is truly the right balance.
Joseph M. Natale: And a lifetime revenue to go with that. Yes.
Paul Carpino: Thanks, Batya. Next question Mike?
Operator: Next question comes from Vince Valentini from TD Securities. Please go ahead.
Vince Valentini – TD Securities Inc.: Yes, thanks very much. Maybe just try to clean up a couple of other questions to push to see if you'll give us different disclosures. Joe, you gave some good figures on where you were heading into this year to the code of conduct. Do you actually have a figure? Can you give us to us how many of your subscribers are still on a three year contract as of today?
Joseph M. Natale: It was a good try, Vince. I can't, and I just it's very sensitive information that I think is something that would not be in the best interest of shareholders.
Vince Valentini – TD Securities Inc.: No problem, and separately I don't know if you'll give us this either but your churn is very low. I imagine there's some component of churn that's involuntary, people just losing their jobs, leaving the country or whatever or you're kicking them off for being bad debts. Can you give us any sense of where that baseline churn could be? Is it sort of half of what you’re now reporting at 0.9%?
Joseph M. Natale: We don't disclose that involuntary component of our churn, and our numbers are now being flatter by some involuntary component mix it truly is based on the hard work and dedication of the team on all fronts.
Darren Entwistle: A comment about being flat he's wondering how much lower can you take it.
Joseph M. Natale: Well I think if that's your question, Vince, I think that there's still opportunity for the TELUS team to continue driving improvement in wireless churn. We know very well the various reasons why customers leave us, and we've been systematically addressing those elements now for the better part of six years. And we have people devoted to looking at every one of those elements and knocking them down one after the other after the other. And at the heart of the reason why we have a 0.9% wireless churn number that is sustainable and repeated and with room for improvement is we've worked hard to create a culture in the organization that every single customer touch point the customer does come first, and whether you're in our stores talking to people in the call center, interacting with us in various forms and approaches, we know exactly where the gold is. I think you would lose respect from me if I told you where it was on this call because that is our asset that we have to protect.
Vince Valentini – TD Securities Inc.: Guys, one last one on the ARPU trends. You may have heard the Bell call, I'm not sure but they said I think 32% of their LTE data usage is video now. In directionally is TELUS seeing a similar dynamic? I guess I'm a bit concern with all of the content asset these have and the splash they've made with Bell mobile TV and now Rogers has all the NHL content, is video as big of a driver for TELUS or is that possibly an area you're under indexing?
Joseph M. Natale: I think that TELUS customers every day get to vote with their feet, and clearly based on the growth that we're seeing in terms of share of market available adds and the loyalty rates that we have the services, the content, the capabilities that they need. The phenomenon of data consumption is as relevant to TELUS customers as any other customer and that is people are availing themselves of applications and content based on all kinds of different channels and media outlets and clearly they're very happy with the service we're providing, because they continue to remain with TELUS and driving our lifetime revenue economics that we talked about.
Vince Valentini – TD Securities Inc.: Okay, thanks.
Paul Carpino: Great. Thanks, Vince. Next question Mike?
Operator: Next question comes from Richard Choe from JPMorgan. Please go ahead.
Richard Choe – J.P. Morgan Chase & Co.: Great, thank you. This quarter saw our first year-over-year increase in gross adds on the postpaid side, looks like customer activity on upgrades is up a little bit. Do you think we're past the wireless code of conduct issue, and customers are actually making decisions now and obviously probably being helped by the iPhone, what kind of backlog are you seeing? And just kind of wrapping it all up, do you think wireless customer activity is going to return to normal going back to growth given how well your churn is on the disconnect side and what to expect kind of going forward?
Joseph M. Natale: I think the confluence of three year and two year contracts expiring is something that is already starting to happen as people look at iconic launches, when the new iconic device comes out it provokes peoples thinking around is it time to make the move, and they start shopping and looking for opportunities, and that's why we did so well in this past quarter is because we did well in attracting new customers at TELUS given the shopping phenomenon. Along the way there will be other things that will happen to attract customers to start thinking about should they make the move. We try to create very customer friendly practices around making the upgrade. The double cohort issue that we talked about will certainly continue and extend through next year, and we're happy that we're seeing both gross and net loading go up. It hasn't happened for a number of quarters that we've seen gross loading go up, which is good for the TELUS organization, but at the end of the day we're very much focused on the quality of the customer that we're attracting and our ability to maintain that customer loyalty going forward. And our practices and approaches around those opportunities that present themselves in the marketplace will be driven by that. In terms of volumes down the road, as I said a few minutes ago, major cities in Canada are 100% penetrated. More than ever this is becoming an opportunity to really make sure that we have the right value proposition to go after the best customers. And customers who decide to make the move between providers based on the whole host of things that are going on in the marketplace. One of them we believe is fundamental to making that decision is the reputation for customer service, which more than ever is important because in a world where it's getting almost impossible to differentiate yourself on device availability, in a world where any technology advances can be fleeting in nature customer service is the ultimate focus. And that's why we put so much energy to it, and I think it will serve us well as the market ebbs and flows over the coming years.
Paul Carpino: Thanks, Richard. Mike, we'll take three more questions, please.
Operator: All right. Next question comes from Maher Yaghi from Desjardins. Please go ahead.
Maher Yaghi – Desjardins Securities Inc.: Thank you for taking my question. I just want to maybe dig a little bit deeper on the churn rate, and you seem to be optimistic you can bring it down even further than where it is your leading industry numbers. Is that going to be costing more on retention to bring it down further, or do you think you can manage that decline through your current cost structure and retention cost that you're incurring like say in the 10% to 11% range like you mentioned? And second question I had is when I look at margins on wireless before COA and retention it has been down about 2% for the first three quarters of the year. Can you maybe talk a little bit what's driving that operational increase in cost before retention and COA?
Darren Entwistle: Well maybe just a comment here to preface it. It's I guess a terrific position to be in that when you post the best loyalty rate in North America to be having a conversation about where can you go next in terms of taking it lower. I think in terms of guidance for investors on this call, adjusting for quarterly seasonality, where we have been in the past between 10.5% and 11% where COR is a percentage of network revenue is a good leading indicator of what you can expect from this organization on a go forward basis. I would be exceedingly pleased to continue to be in the sub one zip code. I think that's a great result for this organization, and then to Joe's point earlier, our ability to grow value with customers reflected in our ARPU and then leveraging a combination of a sub one churn rate and a very robust ARPU profile building on the four straight years of ARPU accretion that we have delivered thus far, I think would be a very eclectic combination. And when you come in close to $4,200 on lifetime revenue which is a significant delta versus our peer group and you deliver a company’s first, a company first result that's the best result that TELUS has ever delivered in that regard. I think there should be a level of satisfaction with that and the profitability that flows from it. So I think continuing to push on this point is not the best way to carry on the discourse at this junction. Joe, over to you.
Joseph M. Natale: Oh, thanks for that Darren. Fundamentally I'd just add one thing. Fundamentally I'd say that the organization is focused on driving loyalty and improving the customer experience and at the same driving the right economics of the business. The two are not mutually exclusive. In fact I would argue that every move we've made on driving a better customer experience and therefore better loyalty has come with actually a cost improvement value to it as well. The cost of serving customers poorly is actually very high. And that's been our philosophy, and that's been our ethos, and you'll continue to see those two things going hand in hand.
John R. Gossling: On your EBITDA question on wireless, it might be a better discussion to have off line just so I can understand where you're getting your numbers from. I look at our normalized wireless EBITDA for the quarter before COA and COR, and really all of our dollars of EBITDA accretion are coming before COA and COR. So they must be something in the way you are analyzing things. If you look at the expense categories we disclose in the MD&A for wireless each category has been impacted by Public Mobile, there's no question about that. If you look at that bucket that's called wireless other non-labor and non-operating expenses for the network, there's a fairly significant increase this quarter there. That's really made up of three things. One is Public Mobile; one is the restructuring costs this quarter have largely gone there because they relate to stores, they not related to any kind of labor cost. And then the other one actually also has to do with stores where as we expand some of our channels those costs go online. And this is more rent and those types of costs of an expanded distribution channel, so that's what's driving that line. But we should probably maybe do it after the call, because I want to understand exactly how you're doing your numbers and how you're peeling things apart.
Paul Carpino: Yes, great. Thanks, Maher. We know you guys have another call at 11, so we’ll take two more questions Mike, next question please?
Operator: All right. Our next question comes from Drew McReynolds from RBC Capital. Please go ahead.
Drew McReynolds – RBC Capital Markets, LLC: Yes, thanks very much for fitting me in. Just two questions. First, a quick one for you, John. Just would love to get your updated thoughts with respect to the 1.5 times to 2 times leverage target you have. We've seen more peers recently raise that, and of course given the stability growth in the business just wondering if going forward that's something you're willing to revisit. And then secondly, I guess for either Darren or Joe, just with respect to the healthcare segment, I'm assuming it's accretive to the 2.5% wireline revenue and EBITDA growth that you report. Just wondering when you look at all the moving parts in that business we're hearing more and more about this vertical. Is there anything in the next 12 to 24 months you can point to in terms of a development and inflection point that really begins to move the needle in the growth of the business? Thanks.
John R. Gossling: Thanks, Drew. I'll take that first leverage question. I think we've been clear for a long time that 2.0 isn't a hard feeling for us particularly when there are opportunity to invest in different things that may be very important to the long-term future of the business. And certainly what’s happening right now and what we'll see continue to happen probably over the next couple years is spectrum acquisition opportunities. So if you look over the last year between public and the 700 auction and the G-block purchase we did in the west last summer, of 2013 we spent about $1.5 billion on spectrum. We don't know what that number is going to look like going forward, but we're certainly in a very high spectrum investment phase right now. From our account there is probably four or five spectrum options that will come in the next three to four years, so we're certainly committed to that range at this point, but the big unknown is always going to be spectrum options and what cash is required that ends up being. But again it's a very important investment for us, and I think all the things Darren said about the CapEx situation earlier are very much applicable to spectrum investment as well.
Darren Entwistle: So and so a bit of an atypical period that we're in right now. We've had an unprecedented concentration of spectrum options taking place at the same time as we're deploying new technologies on the wireless front both LTE and small cell and at the same time as we’re going through a modular fiber deployment program on wireline. So it's a confluence of those three parameters, and there's an aspect that's indeterminate because of the unknown nature of spectrum options. I think once we get through the first half of 2015 we will have a better view in that regard. I would say over the longer term, the cash generation power of this organization is going to be significant, and I think that should be reflected in our credit metrics and lowering our leverage as the investments that we make pay off and as the cash appetite wanes after we get through concentrated period of spectrum options.
Josh Blair: And it's Josh Blair. I'll take the health care question. At our AGM, Darren disclosed that it’s already a sizable business, so circa $550 million in revenues and similar margins that we have in wireline. I think that it's safe to say that it’s an important contributor to the growth of the wireline segment, and I'll leave it at that. But in terms of the growth profile we have a very exciting growth profile so just to give you a sense of it, we service about half of the physicians who have an electronic medical record in the penetration of electronic medical records is about 60% in Canada. If you look to a lot of other countries it's in the high 90s like 97% in the U.K. by way of example so great growth in the future there. Great growth in the pharmacy business. Our software solutions would be in about 40% of pharmacies across Canada right now, so we have opportunities there. Opportunities in terms of the insurer market, the allied healthcare professionals market, hospitals, provinces we're doing some great works various provinces across the country. So we really have the opportunity, we are creating – we have touch points now across the whole healthcare ecosystem, and as we get that ecosystem to work together more efficiently and more effectively, it will be an important contributor to the evolving healthcare system in Canada improvements in health outcomes in Canada and exciting growth opportunity for the TELUS organization going forward.
Paul Carpino: Great. Thanks, Drew. Mike, can we take our last question please?
Operator: Sure. Last question comes from Tim Casey from BMO. Please go ahead.
Tim Casey – BMO Capital Markets: Thanks. Can you just review for us what's happening in the market conditions on the residential wireline side? You've highlighted sub growth was going to slow and it is, but what's happening on the ARPU side there and your ability to continue to grow your residential customer base in current market conditions? Thanks.
Joseph M. Natale: Sure, Tim it's Joe. I think first of all it's important to understand that when we talk about sub growth in the wireline business we look at it holistically, and I think given our performance with respect to the net adds on high speed, the attenuating NAL losses, we have a much richer mix than we've ever had in terms of the overall mix of wireline subscribers. And at the end of the day, that is our goal above all else is to secure more households and continue to drive the growth of the business both absolutely and relatively. And the dynamic we're seeing is that the TV service we offer is very compelling and it's service that's pulling through a phenomenal degree of end play customers. 80% to 90% of the TV customers that we get bring with them a brand new high speed internet connection, and in a world where high speed internet is the new dial tone of the home that's really our primary focus. So when we look at our results around high speed this quarter we're very pleased with the outcome. I believe everything else will be a service that gets wrapped around that whether, it's voice service that get derived from a voice-over-IP approach or whether it's entertainment services, whether it's other home automation, home security services, that high speed connection is the ultimate focus that we're after in owning the home. And that's really been our strategy from the get go. And the reason you're seeing continued growth in EBITDA in our wireline business is because of focus in that particular area. The dynamic in the marketplace is as competitive as ever. We continue to expand our footprint. I said earlier that we have 2.8 million homes in our addressable optic TV footprint, and we're serving them now with 50 mg service to 92% of that addressable market, and we continue to deploy fiber to both augment the size of our market opportunity and to drive greater speeds into our base so I think the equation is working and that it's driving fundamentals in our business. The key is to continue to add compelling ideas and solutions that will perpetuate our ability to gain market share and maintain customer loyalty around that high speed connection. The team has done a great job of doing exactly that.
Paul Carpino: Great, thanks, Tim. And thanks to everyone for joining us today. If there's any follow-up questions, please reach out to the Investor Relations team.
Operator: Ladies and gentlemen, this concludes the TELUS 2014 Q3 Earnings Conference Call. Thank you for your participation, and have a nice day.